Executives: Jerry P. Rebel - Chief Financial Officer, Principal Accounting Officer and Executive Vice President Linda A. Lang - Chairman, Chief Executive Officer, President and Chairman of Executive Committee Leonard A. Comma - Chief Operating Officer and Executive Vice President Carol A. DiRaimo - Vice President of Investor Relations & Corporate Communications Unknown Executive - 
Analysts: Peter Saleh - Telsey Advisory Group LLC Keith Siegner - Crédit Suisse AG, Research Division Jake R. Bartlett - Susquehanna Financial Group, LLLP, Research Division Bart Glenn - D.A. Davidson & Co., Research Division Jeffrey F. Omohundro - Wells Fargo Securities, LLC, Research Division John S. Glass - Morgan Stanley, Research Division Brian J. Bittner - Oppenheimer & Co. Inc., Research Division Jeffrey Andrew Bernstein - Barclays Capital, Research Division Conrad Lyon - B. Riley & Co., LLC, Research Division David E. Tarantino - Robert W. Baird & Co. Incorporated, Research Division Christopher T. O'Cull - SunTrust Robinson Humphrey, Inc., Research Division
Unknown Executive: [Audio Gap]  which we expect to be largely completed by the end of the calendar year.  On our refranchising strategy with the sale of 332 restaurants during 2011, the Jack in the Box system was 72% franchised at the end of the year, and we've achieved our original goal of increasing the percentage of franchise ownerships to 70% to 80% 2 years ahead of the plan.  Over the last 6 years, we've refranchised more than 1,000 restaurants and expect to refranchise 150 to 200 restaurants over the next couple of years, which will bring our Jack in the Box franchise ownership to approximately 80% of the system.  Turning to our Q4 results. We're very pleased to see the sales momentum that's been building for more than a year continue during the fourth quarter. Same-store sales at company Jack in the Box restaurants increased 5.8%, driven by an 8.5% increase in traffic. This was our fifth consecutive quarter of sequentially improving 2-year sales trends and represented a 650-basis-point sequential improvement of 2-year cumulative same-store sales.  Systemwide Jack in the Box same-store sales growth for the quarter exceeded that of the QSR Sandwich segment for the comparable period according to the NPD Group's sales track weekly for the 12 weeks’ time period ended October 2, 2011. Included in this segment are the top 11 sandwich and QSR burger chain competitors.  Our major markets each posted strong same-store sales growth for the fourth quarter. Year-over-year, sales were positive across all dayparts during the quarter, which we attribute to the progress we've made in enhancing the entire guest experience.  Breakfast was, again, our strongest daypart driven by compelling new products we introduced in August, the $2.99 jumbo breakfast platter. Although we're still early into fiscal 2012, we're continuing to see strong same-store sales growth through the first 7 weeks of the first quarter despite more difficult comparisons.  We believe part of the improvement in our results this year has been due to the quality improvements we've made to our core products and these actions are clearly resonating with our core customers who crave these products. Our latest initiative in this area focuses on several improvements to our classic burgers which are being introduced later this month across the entire system. The introduction will be supported with advertising, merchandising material and social media initiatives later this quarter.  Moving on to Qdoba. Fourth quarter same-store sales increased 3.1% systemwide, representing the third consecutive quarter that 2-year cumulative same-store sales that have been greater than 9%.  We continue to increase the percentage of company ownership of Qdoba restaurants. At the end of the fourth quarter, 42% of the system was corporate-owned compared to 36% at the end of last year and 31% at the end of fiscal 2010. For the year, 67 new Qdoba restaurants opened systemwide, including 25 company locations. We also made opportunistic acquisitions of 32 franchise locations in several markets.  In fiscal 2012, we will further accelerate company Qdoba growth, and forecast company locations will comprise approximately half of the 70 to 90 new restaurants we plan to open systemwide.  We plan to more aggressively build out the number of Qdoba -- of company Qdoba locations over the next several years through new unit growth and opportunistic acquisitions of franchise locations. Accelerating the growth of our Qdoba brand by increasing market penetration should generate heightened brand awareness.  Looking ahead at the coming years, we're focused on building upon the sales momentum generated in fiscal 2011 and further expanding restaurant margins through continued execution of the following actions: delivering a more consistent dining experience, including improving speed of service to increase throughput at our restaurants; enhancing our top-selling core products, along with innovative new menu items; increasing franchise ownership to approximately 80% of the Jack in the Box system over the next couple of years; and accelerating the expansion of Qdoba through new unit growth and opportunistic acquisitions of franchise locations.  I'm looking forward to talking with you more about these and other initiatives. We're planning an Investors Day in late February in San Diego, where we will outline our major strategies and initiatives and provide long-term guidance on key metrics.  In closing, I'd like to thank our hardworking employees for a great year. Because of them, we met or exceeded several major goals over the course of 2011, including sales and transaction growth, refranchising and restaurant reimaging.  I'd also like to thank our franchise community for their ongoing support and unwavering commitment to our Jack in the Box and Qdoba brands. Now I'll turn the call over to Jerry. Jerry?
Jerry P. Rebel: Thank you, Linda, and good morning. I'll touch upon some financial highlights for the quarter and full year before reviewing our fiscal year 2012 outlook. All of my comments this morning regarding per share amounts refer to diluted earnings per share.  Fourth quarter earnings were $0.49 per share compared to $0.07 last year. Full-year EPS was $1.61 versus $1.26 last year. And last year's result included a $0.33 charge in the fourth quarter relating to the closure of 40 restaurants.  Operating earnings per share, which we define as EPS on a GAAP basis less gains from refranchising were $0.19 for the quarter and $0.83 for the full year, ahead of our most recent guidance, despite mark-to-market adjustments which negatively impacted our Q4 SG&A by approximately $0.06 a share.  Refranchising gains of $0.30 in Q4 and $0.78 for the full year also exceeded our expectations.  We completed the sale of 106 restaurants for the quarter, including 55 restaurants in Phoenix which is now entirely franchised. Average weekly sales for Jack in the Box company restaurants were up 14.9% in the quarter resulting in part from the 5.8% increase in same-store sales that Linda discussed.  Company AUVs for the full year were just over $1.4 million, up 8.3% from last year due in part to the same-store sales growth of 3.1%. The increases in both the quarter and the year are also due to the benefit of the franchising activities, as well as the impacts of foreclosures in Q4 last year.  Restaurant operating margin of 13.5% of sales for the quarter was 100 basis points better than last year's fourth quarter and also improved 100 basis points, sequentially, in Q3.  The 100 basis point improvement in margins as compared to last year included 190 basis points of higher food and packaging costs. This was more than offset by 290 basis points of improvements which were driven by the benefit from refranchising over the past 12 months, as well as the stores we closed in last year's Q4, as well as lower repairs and maintenance, insurance and utilities cost this year versus last year.  The increase in food and packaging costs was due primarily to commodity inflation of approximately 7% which was in-line with our expectations, compared to approximately 3% inflation in last year's fourth quarter. The increase was partially offset by pricing, which was about 2.7% higher in the quarter at our company Jack in the Box restaurants, reflecting a 1.4% increase that was taken in mid-May and an incremental 1% price increase taken at the end of August. Moving on to our refranchising strategy. We sold 106 company-operated Jack in the Box restaurant franchisees in the fourth quarter and 332 restaurants during the year, the highest number we've sold in any year since embarking on this strategy and ahead of our last year's [ph] guidance.  Our refranchising activity in 2011 generated nearly $120 million in proceeds which we used in returning over $193 million to shareholders through the repurchase of over 9.1 million shares of our stock at an average price of $21.27 per share.  To give you some perspective on the impact refranchising is having on our strategy to evolve to a higher margin company-operated footprint, our pro forma restaurant operating margin for fiscal year 2011, excluding the stores we refranchised this year, would have been approximately 100 basis points higher than our reported 12.7%. And as Linda mentioned, we intend to refranchise an additional 150 to 200 restaurants over the next couple of years. Excluding these restaurants and the ones sold in 2011, our pro forma Jack in the Box restaurant operating margins for the year would have been in excess of $0.16 even with 2011 5% commodity inflation.  Before I review our guidance for fiscal year 2012, let's talk about our commodity cost outlook for the upcoming year. Overall, we expect commodity costs for the full year to increase by approximately 5% with higher inflation in the first half of the fiscal year. Almost everything in our commodity basket is forecast to be higher in 2012.  Some key points with respect to our major commodity purchases and where we have some coverage. Beef, which accounts for approximately 20% of our spend, will likely remain the biggest wild card we have in forecast [indiscernible]. For the full year, we currently expect beef costs to be up 9%, 10% with inflation in the high teens in the first quarter.  Chicken is about 9% of our spend. We have fixed-price contracts that run through March 2012. Cheese accounts for about 6% of our spend. We have 100% coverage on cheese through the end of March, 6% coverage through the end of fiscal 2012. Bakery accounts for about 8% of our spend, we have 90% of our bakery needs covered through September 2011, approximately 70% covered through March 2012, and 30% covered through May 2012.  Let's move on to the rest of our guidance for fiscal 2012. For the first quarter, we expect same-store sales for Jack in the Box company restaurants to increase 4% to 5%, lapping a 1.5% increase last year. Systemwide same-store sales at Qdoba are expected to increase 2% to 3% versus a 6.4% increase in the year-ago quarter. Commodity costs for the first quarter are expected to increase by approximately $0.08.  And a couple other comments on Q1. Because we only have a handful of markets left to be franchised, predicting the exact timing of these transactions is more difficult. That said, we are not currently forecasting the conclusion of any refranchise in [ph] Q1.  With respect to our franchisees to substantially complete their reimages by the end of September, which means that the bulk of the $0.07 to $0.09 of reimage payments for fiscal 2012 are expected to occur in the first quarter. I won't repeat all of the full-year guidance included in the press release, but here's our current thinking on some of the key line items.  Same-store sales are expected to increase 2% to 4% at Jack in the Box company restaurants, and 3% to 5% at Qdoba restaurants [ph]. Restaurant operating margin for the full year is expected to be in the mid-13% range, depending on same-store sales and commodity inflation. While the refranchising of restaurants in 2011 and same-store sales growth should have a positive impact on margin, we expect this to be offset in part by commodity inflation of approximately 5%.  SG&A is expected to be in the mid-10% range. Our SG&A forecast includes higher noncash pension expense, cost related to the implementation of upgraded restaurant technology and higher G&A related to Qdoba growth, as the accelerated company [indiscernible].  Impairments and other charges, which include accelerated depreciation and other costs on the disposition of company equipment, are expected to be approximately 30 to 40 basis points in 2012 as compared to 60 basis points in ‘11. Capital expenditures are expected to decline to $90 million to $100 million in 2012, from $129 million in 2011. The decrease is primarily due to lower reimage and maintenance CapEx of approximately $32 million, which will be partially offset by CapEx for 35 to 40 new Qdoba company restaurants compared to 25 in 2011.  Our full-year guidance for diluted earnings per share is $1.10 to $1.43, with the range reflecting uncertainty and the timing of the anticipated refranchising transactions, as well as same-store sales results and commodity inflation.  Operating earnings per share which we define as diluted earnings per share on a GAAP basis plus gains from refranchising are expected to range from $0.90 to $1. Operating EPS includes $0.07 to $0.09 of the imaged incentive payments to franchisees in fiscal 2012, which again are expected to occur mostly in the first quarter. The image incentive payments in fiscal 2011 were $80.2 million or approximately $0.11 a share.  Gains from refranchising are expected to contribute $0.20 to $0.33 per guest as compared to approximately $0.78 in fiscal 2011, plus we expect to generate $15 million to $25 million in gains from the sale of 80 to 120 Jack in the Box restaurants to franchisees, with $35 million to $50 million in total proceeds resulting from sales. And as I said earlier, we don't expect any gains or proceeds in the fourth quarter.  We now estimate EPS sensitivity as follows: For every 1% change to Jack in the Box systems same-store sales, we estimate the annual impact to earnings of about $0.08 to $0.09 is there. Approximately half of which relates to company operations, depending on flow-throughs and assuming stable cost and the other half relates to franchise revenues which are not subject to commodity cost or other inflation. The impact of a 1% change in Qdoba same-store sales is approximately $0.01 to $0.02. For every 10 basis point change in restaurant operating margin, the estimated annual EPS impact is approximately $0.01 to $0.02 per share on a consolidated basis.  Lastly, as we approach completion of our Jack in the Box refranchising strategy, we expect our business model transformation to result in a higher AUV; higher-margin company-operated footprint; generate growing annuity-like royalty and rental income streams as we now sublease to approximately 98% of our franchised locations to franchisees; be less capital intensive with more capital deployed for growth versus maintenance; result in lower SG&A; increase our return on invested capital and EBIT margins and result in growing free cash flow.  At the same time, Qdoba has become a more significant part of our business and will continue to become larger still as we aggressively grow the brand in the fastest growing segment of the industry [ph]. We look forward to speaking to you in more detail about our outlook for the future at our Analyst Day in late February in San Diego. Carol will be providing more additional details in the coming weeks. That concludes our prepared remarks. I'd now like to turn the call over to Stacey.
Operator: [Operator Instructions] Our first question is from John Glass of Morgan Stanley.
John S. Glass - Morgan Stanley, Research Division: My first question is, I just want to make sure I understood you correctly on your -- the components of same-store sales for the fourth quarter. I thought you said traffic was up something like 8.5%, and if you combine that with your comments about pricing, would suggest there was a fairly significant negative mix. So can you just review that -- those components, make sure I got them straight and why they would be the way they are? And can you also just talk about the difference between company and franchise same-store sales because they seem to be growing?
Linda A. Lang: Sure. We did report -- of the 5.8% increase in company same-store sales, 8.5% was traffic. Check was down 2.7%. Price was up 2.7%, so that leaves mix down 5.4% and most of that is really driven by some strong promotional activity, especially in the jumbo breakfast platter, the $2.99 breakfast platter, and that was really designed to drive trial at breakfast and to introduce guests back to -- or to introduce guests to the new bacon that we rolled out. So we made a pretty significant investment in our enhanced bacon and we designed a great, very compelling product around that, that we launched last quarter. So that impacted the mix. And in terms of the gap between franchise and company, I'll have Lenny talk about that.
Leonard A. Comma: John, this is Lenny. If you take a look at the major initiatives that we really focused on this year, both the reimage and the guest service experience, and you were to focus specifically on speed of service within the guest service experience, you would see that the company operations were off to a much faster start in improving the overall speed of service. And so throughout the year, we saw that the progression in the improved speed accelerated with the company operations faster than with the franchise operations. So we know that that's one component. And another big component in the gap in sales between franchise and company is simply the timing of the reimages. Most of the company operations completed their reimages in the first cycle of the year and most of the franchised restaurants hadn't even started their reimages until the back half of the year. So we know that the franchisees are sort of right in the thick of it right now and we expect that to come to a close and with that, to see the gap in sales diminish.
John S. Glass - Morgan Stanley, Research Division: Okay. And then my second, my follow-up question is regarding, Jerry, you mentioned the commentary around restaurant-level margins. I think, again, want to make sure if I heard this correctly, 16% would be the number that you would've gotten in '11 had you -- not only the refranchising had occurred throughout the year -- at the beginning of the year, plus the incremental that you plan to refranchise. So does that mean that the next 150, 200 units are going to improve margins by, I don't know, there seems to be an extra 200 hundred basis points like there's going to be a larger, a disproportionately large impact on the last couple hundred units of refranchising on your margins. Did I hear that correctly?
Jerry P. Rebel: You did. And I’d say that your math is pretty accurate also.
John S. Glass - Morgan Stanley, Research Division: Okay. And this is just due to the type units, the last 200 that you're going to sell have very, very low margins. Is there a market, is there some characteristic about them that -- because you're not predicting your gains or that your proceeds are going to go down?
Jerry P. Rebel: Yes, well, the gains are not predicted to go down this year. Remember, we're talking about the 150 to 200 units over the next couple years. The ones that we have slated for refranchising this year will be similar in terms of performance of our refranchising activity that we saw in fiscal 2011. The biggest impact will be the restaurants that we would expect to refranchise in fiscal 2013.
John S. Glass - Morgan Stanley, Research Division: I'm sorry fiscal...
Jerry P. Rebel: In fact, if we can move those up any faster, we'll see that benefit come much more quickly.
Operator: Our next question is from Jeff Omohundro of Wells Fargo.
Jeffrey F. Omohundro - Wells Fargo Securities, LLC, Research Division: I wonder if you could talk a bit about concept positioning at Jack in the Box, particularly around the product evolution? And in particular, perhaps some color on the planned new burger line rollout at Jack?
Linda A. Lang: Sure. We'll probably talk a lot more about the positioning in February at the Analyst Meeting, but just to kind of recap the plan that we had going into the year and that started several months ago, it was really about improving the overall guest experience to drive kind of long-term sustainable sales. So we really focused, not just on the food improvement, Jeff, and continuing with innovative new products, but we also kind of redefined value this last year with the bundled deals. And the jumbo $2.99 jumbo breakfast platter's the perfect example of the type of bundled value deals that are really very compelling and they're meeting the needs of those consumers that are looking for value in today's market. The other areas, though, are the reimaging and that includes the menu board upgrades, the new uniforms and we're seeing the results of that with more dine-in business. We've seen fantastic growth in our dine-in business as a result of the reimages. Service, Lenny talked about speed of service. We've even staffed more at late night so we're seeing the benefit of the late-night staffing. Focusing on order accuracy, friendliness and cleanliness and we're seeing all that come back and we're seeing in the research where we're getting higher attribute ratings in those areas. So it's really positioning around the entire guest experience. That includes the food, upgrading the quality of the food. I mentioned in my comments, the upgrade to our burgers so we are rolling that out as we speak. It should be completed by the end of this week. We have completely reformulated our hamburger patty and that has now -- has improved taste, texture, juiciness and all of that has been done through our R&D efforts and we know we have a statistically significant preference with the new patty. We also have rolled out an improved bun and we have new saucing procedures. So that, again, is in improving the food quality at Jack in the Box, along with the bacon improvement, the fries, the coffee and the taco. Does that help?
Operator: Our next question is from Jeffrey Bernstein of Barclays.
Jeffrey Andrew Bernstein - Barclays Capital, Research Division: Great. Actually I had 2 questions. Just the first one on the restaurant margin side, I know we're talking about the mid-13% range in fiscal '12. Just wondering if you can give some granularity. I know the food costs, you're expecting the basket to be up 5%. My guess is that would lead to some deleverage on the food cost line. Just wondering the magnitude of the -- the benefit on the labor and occupancy side of things. I know the occupancy was much more favorable than we were anticipating this quarter so I'm just wondering, if you can give kind of the color of the 3 components within that restaurant margin, and just to clarify if all the units were refranchised at the beginning of this year and all the additional units to be refranchised were done, is it then reasonable to assume a 16% restaurant margin starting by the end of fiscal '13?
Jerry P. Rebel: What I would -- let me answer the last part of that question first. So based upon what we described on a pro forma 2011 margin, which we said was north of 16%, assuming that all of the 11 restaurants were gone day one, fiscal 2011 and the remaining 150, 200 restaurants had also been sold at the beginning of 2011, yes, that would be north of 16%. So assuming that commodity cost or other items don't just run away from us, I think that -- what you just said is a reasonable assumption, assuming that we're able to complete the refranchising transaction in that time. Let me go on to the first part of your question, though. The way I would look at this, Jeff, would be if you take the 12.7%, commodity inflation at 5% is going to be in round numbers, 150 basis points. And then when you look at what we have talked about with our refranchising activities in '11, we just indicated that they would have been 100 basis points higher. And then when you -- so that would help to offset that and then the remaining part of the growth is going to come from the Jack in the Box 2% to 4% same-store sales growth which includes some pricing, as well as the Qdoba 3% to 5% improvement in same-store sales.
Jeffrey Andrew Bernstein - Barclays Capital, Research Division: But the favorability on the occupancy and labor, is there anything unusual about that or should we assume significant favorability in '12?
Jerry P. Rebel: Well, I was really referring to the overall flow-through of the anticipated sales improvement for Jack and Qdoba rather than walking you through the individual parts. I think at the end of the day, it's about delivering the restaurant operating margin and not necessarily about the individual components of our results, though [ph].
Jeffrey Andrew Bernstein - Barclays Capital, Research Division: I got you. And then just to clarify, I know you said from a cash issued standpoint, it was like $190 million in share repurchase in fiscal '11. Just wondering how you're thinking about that free cash for fiscal '12, whether we should think about something similar in repo versus dividend or maybe what the share count assumption would be in fiscal '12 based on your guidance?
Jerry P. Rebel: Yes, what I would say there is one, we are anticipating free cash flow in fiscal 2012, given where we expect our performance to be and with the lower CapEx that we've guided to, so I think that's good news. The way that we always look, though, at the capital deployment would be first in growth-related activities. Those growth-related activities would primarily be in Qdoba new restaurant growth, as well as, opportunistically, buying some existing franchise locations that are high-performing units. So we've looked at doing those items first. And then after we then ensure that we have reasonable leverage, then we would take a look at returning some additional cash, assuming that we think the value is right there.
Jeffrey Andrew Bernstein - Barclays Capital, Research Division: But is there a share count assumption for year-end fiscal '12 that you're assuming right now or...
Jerry P. Rebel: Yes, it's not -- it's just [ph] somewhere from what we have -- what we ended the year with. So you add...
Linda A. Lang: According to the end of the year share count, nondiluted was 44.25% [ph].
Jerry P. Rebel: Yes. But you’ll have the diluted impact there. So in round numbers, around 46 million shares outstanding for the year.
Operator: Our next question is from David Tarantino of Robert W. Baird.
David E. Tarantino - Robert W. Baird & Co. Incorporated, Research Division: Just a clarification question on the restaurant level margin during the quarter. Jack in the Box comps came in well ahead of your guided range, but the restaurant margin came in within the range. So was just wondering if there was something underlying the performance on the margin side that surprised you in a negative way?
Jerry P. Rebel: Yes, that's a great question. We did get some benefit from Q3 on a sequential basis from not having the menu boards and uniforms roll out again. But that was fully or almost fully offset by higher utility cost because of the heat wave that we saw throughout much of the Southwest through July, August and into September. Utilities cost was about 50 basis points in the quarter.
David E. Tarantino - Robert W. Baird & Co. Incorporated, Research Division: Okay, that's helpful. And then if I could ask, on that line of questioning, just thinking about sort of how you protect restaurant margins from commodity inflation. Just wondering how you're viewing your ability to take pricing going forward, given all the improvements you made to the brand. Does that give you a little bit more latitude to take some pricing to offset some of the inflationary pressures you're seeing? And if so, why not be more aggressive as you look towards your 2012 plan?
Jerry P. Rebel: Yes, first of all, just remember we did take a 1% price in late August, and we do have some price planned for fiscal 2012. But the way that we look at price is we pay attention to what our key competitors are doing on price, as well as what food at home, grocery store inflation's doing. And what we know is that we want to be -- we would like to be lower than the food at home inflation and be competitive with our key competitors' inflation. But I would suggest that we'll likely be a follower on this and not a leader on price.
Linda A. Lang: Yes, we continue to work with our outside consultants so we'll continue to track the pricing environment, and also, to Jerry's point, the grocery store inflation which actually has ramped up so that may give us a little bit more cover.
Operator: Our next question comes from Brian Bittner of Oppenheimer.
Brian J. Bittner - Oppenheimer & Co. Inc., Research Division: I got 2 questions. The first one is actually kind of more of a clarification question. If the 16% margins you talk about for the restaurants that you plan on keeping in the base would have been 16% this year, does that mean that the restaurants you're planning on selling -- my simple math tells me that those restaurant margins are near 6% -- 6%, 7%. Is that accurate?
Jerry P. Rebel: No. My calculation is higher than that. So what we're looking at is a higher number than that. But clearly, less than the 13.7% this year, again the 12.7% plus 100 basis points what we already refranchised.
Brian J. Bittner - Oppenheimer & Co. Inc., Research Division: Okay. And then the second question is kind of getting a better understanding of how the operating EPS power begins to build in fiscal 2013. Outside of us talking about improvements in the restaurant margins, trying to get a better sense of how certain things impacting fiscal 2012 could reverse; for instance, in the SG&A line, the updated restaurant technology, is that something that could reverse and help you, the 30 to 40 basis points of impairment. Is that something that reverses and helps you out, the reimaging incentives, is the tax rate going to be lower. Can you just kind of talk about that?
Jerry P. Rebel: Sure. Let me talk about what I think some of the drivers to future EPS growth are going to be. So let's talk about the -- let me hit the G&A piece first. So if you're looking at the items that we talked about on G&A, I think the Qdoba G&A will be ongoing because of the announced ramped up growth in the company units for Qdoba, so I would expect that Qdoba G&A will continue to grow along with their growth pace. The pension piece, it is noncash. It's just purely based upon volatility, so it's volatility in the market and volatility in discount rates on AA bonds, so that's what drove that. Volatility could just as easily drive that wildly the other way. So I wish I could predict that. And the technology piece on Jack. This is related to a rollout of some new technology activities and training also. And as that becomes fully rolled out, we would expect that number to start to wane over the next couple of years. So I would not view that as being a structural ongoing burden on our G&A cost. So let me talk about the other drivers here. So I think on the Jack in the Box side, there's a number of items. First of all, the completion of the reimaging incentive payments as the franchisees complete their reimages. We said that’s $0.07 to $0.09, that's not an ongoing structural burden that we're going to have to deal with. So that could come back into operating EPS beginning in 2013. We've also talked about the EPS sensitivity where 1% in systemwide Jack sales creates $0.08 to $0.09 of EPS improvement given somewhat static operating costs. I think the important thing to note here is because of our business model where we get those annuity-like cash flow streams from the royalties, as well as the rental streams, that is half of that number. So typically you would expect company operations to be much more than half of an overall 1% growth rate in same-store sales. And that 1% that we're giving the -- excuse me, the roughly $0.04 to $0.045 that we're getting on franchise same-store sales growth has very little cost risk associated with that, so I think that's important to note. Lenny also mentioned earlier that the franchisees were not quite as far along on some of the initiatives as the company restaurants, where we would expect to get some benefit as those sales catch up with where the company units are. Also, the completion of the refranchising strategy, 150 to 200 additional units that we sold, it stands to reason that as those units have lower restaurant operating margin, that we expect those to be accretive collectively. As we sell those, we’d expect that to be improving not only our [ph] operating margins but also improving operating EPS. And then I also want to mention the -- on a long-term basis, the more rapid growth of Qdoba company-owned units will be long-term accretive. Remember that it does take Qdoba a little longer to reach maturity than it does with Jack in the Box units. But the franchise acquisitions that we've been embarking on and that we may have an opportunity to do on a go-forward basis, those are accretive day one typically. So those are the drivers from what I’d say would impact EPS, EBIT and EBITDA, and then, of course, you also have the ability to improve EPS through opportunistic share repurchases. The tax rate, I wish I could tell you. I think a 37% to 38% tax rate is typical, where we have significant fluctuations from that is typically on mark-to-market adjustments.
Operator: Our next question comes from David Carlson of Suntrust Robinson Humphrey.
Christopher T. O'Cull - SunTrust Robinson Humphrey, Inc., Research Division: It's actually Chris. I had a question, Jerry, just a follow-up on the pro forma margin information you provide. You mentioned that it would be accretive to earnings to sell the 150 -- collectively, to sell the 150 to 200 units. Could you help quantify what the absolute benefit to earnings and cash flow will be once you sell these stores? I'm assuming there's some expenses below the restaurant margin line that would go away as well?
Jerry P. Rebel: Yes, Chris, I think it's probably better to talk about that on our Analyst Day. We can give you guys a more comprehensive view for the long-term outlook. It looks like we could provide enough detail so it all makes sense.
Christopher T. O'Cull - SunTrust Robinson Humphrey, Inc., Research Division: Okay, fair enough. And then what about -- I think you mentioned, did you say what the pension expense expectation is for next year?
Jerry P. Rebel: Yes -- no, I didn't, but I'm more than happy to. If you -- we have a number of items that flow into the retirement program line item, but the pension expense, specifically, is going to be up around $3 million year-over-year.
Operator: Our next question comes from Keith Siegner of Credit Suisse.
Keith Siegner - Crédit Suisse AG, Research Division: I want to follow up on a question from earlier, although, I'll ask it in a slightly different way. Jerry, for 4 years now, there's -- you've been actually free cash flow negative and that's defined as cash from ops less CapEx. And I understand the proceeds from the refranchising program have helped fund some of these programs like reimages, it’s also helped to fund some of the stock repurchases, et cetera. But with the program mostly done, another 150 to 200 is all that's left, how should we start thinking about the free cash flow capabilities of the company going forward? So even for fiscal '12, we've got a CapEx number. What does the free cash flow picture look like? And then when you get to '13, it sounds like if you're at the 16% restaurant level margin, you're going to have even lower potentially CapEx. Help me understand how free cash flow looks following this 4 years of negative free cash flow?
Jerry P. Rebel: Yes, Keith (sic) [Chris], the -- let me say a couple things around that. We would -- we've been talking for some time as we complete the franchising strategy, that we would expect to be a free cash flow generator. We expect that to begin in '12. So beyond that, I think, it is better that we'll provide more guidance on the longer-term outlook in the February Analyst Day. But I think the way you might want to think about this is if you look at the annuity-like cash flows from the rents and royalties, with us being, right now, 72% franchised, that's going to flow through -- that's all free cash flow. And so I think you're right as you continue with building the restaurant operating margin of the remaining locations that way, as opposed to the 150 to 200 restaurants that we'll sell, that we should expect much lower maintenance CapEx even than what we're anticipating for this year. So we did say that we're cutting maintenance CapEx by about $32 million in fiscal 2012. But with the remaining fleet, we still expect that there's going to be somewhere in the neighborhood of $30 million to $35 million of maintenance CapEx. So as we continue to sell restaurants that will continue to wane. Of course, that will be offset, perhaps, by the rate of expansion of Qdoba. I think the good news, though, is the Qdoba CapEx is a growth-oriented CapEx.
Christopher T. O'Cull - SunTrust Robinson Humphrey, Inc., Research Division: One other question for me, then. With Qdoba becoming much more important from a company-operated revenue and profit stream, I think it was like single-digits contribution 2 years ago and now it's over 20. I just -- I'm curious, have you thought about breaking out Qdoba more explicitly on a quarterly basis, in terms of the P&L just so we can see the relative contributions of the concepts more explicitly?
Jerry P. Rebel: Yes, as a matter of fact we do. So if you look at the 10-K, which we will file soon, you will see some additional disclosure. And then on the Analyst Day, you'll probably see more still. But we'll be able to have much broader discussion about that.
Operator: Our next question comes from Bart Glenn of D.A. Davidson & Co.
Bart Glenn - D.A. Davidson & Co., Research Division: Just had a couple questions. One on the distribution sales margin. Was curious if you think that's a business that can have breakeven margins over time and how to think about that?
Jerry P. Rebel: Yes, I think, the way that I think about the distribution business is that it should be breakeven. And I -- and it's designed to be a profit-neutral flow-through service for our franchisees. We've clearly subsidized that over the last couple years modestly, but I would expect as volume continues to improve that, that subsidy would no longer be necessary.
Bart Glenn - D.A. Davidson & Co., Research Division: Okay, and then on the franchise margins, the franchise margins have been under pressure on a year-over-year basis, was just curious now what's your perspective was on the ability for franchise margins to stabilize or start to show some improvement?
Jerry P. Rebel: Yes, I think there's -- you really need to look at the component parts of the franchise margin. So on the royalty and the franchise fee side, you would expect that to continue to be fairly high margin. The issue, though, is because we have -- and this isn't an issue, this is really a benefit, because we have the rental stream also, our – the rent that we charge franchisees is above the royalty rate. And we’ve talked about a rent spread in the 3% to 3.5% range, so therefore you would expect lower margin on the rental side of the income, however, it generates a ton of cash flow for us. And our rent costs, remember, are essentially fixed and the franchisee rent cost fluctuates on sales so if their sales improve, we would expect the rental revenue to improve also. So I'd pay -- I think I would pay more attention to the cash flow and the earnings stream from the rent and royalty rather than paying attention to margin rate because when you compare us to others, there aren't many others in the industry or in the space who have both a royalty and a rental cash flow stream in their story.
Operator: Our next question comes from Conrad Lyon of B. Riley & Co.
Conrad Lyon - B. Riley & Co., LLC, Research Division: Want to talk more about Qdoba. I know, Jerry, you said you'd provide more details on your Analyst Day, but what changed conceptually to want to grow the company concentration recently? Was there something economically that you're seeing that is increasing or looking stronger?
Linda A. Lang: No, this has been a plan for quite a while, actually, as we've acquired, opportunistically, several small markets over the last 2 years. And this year, we have 32 units, last year, we had additional units as well. And what we've stated is, we've essentially said that for company restaurants and we're going to go in and more quickly penetrate the larger, more urban markets because we see a benefit, in terms of AUVs, that the higher the brand awareness, the higher the AUVs. And we just want to accelerate that process in the larger core company markets. We'll allow franchisees to continue to grow in those smaller, more urban markets as they have been doing. So we're kind of on strategy. We announced the strategy probably about a year ago, but we've decided to accelerate it as we've moved to a more franchise model on the Jack in the Box business.
Conrad Lyon - B. Riley & Co., LLC, Research Division: Okay, so that's kind of where I'm going. So from a corporate perspective here, we’re suddenly going to see [ph] Jack be that cash flow generator that perpetuates that Qdoba growth, but are we going to see the Qdoba company to franchise mix skew one way?
Linda A. Lang: Yes, it'll continue to grow towards more company ownership.
Conrad Lyon - B. Riley & Co., LLC, Research Division: Got you, okay. The last question, perhaps a Jerry question. Where might we see the debt balance by year end of '12?
Jerry P. Rebel: Yes, we’re not going to give any guidance on that. But I can tell you that we are well within all of our covenant requirements. So we have no issue with where we are with respect to debt. I don’t anticipate any items.
Operator: Our next question is from Peter Saleh of Telsey.
Peter Saleh - Telsey Advisory Group LLC: Just wondering if you could give us a little bit more color on, regionally, where you think the 70 to 90 units for Qdoba are going to kind of shake out in terms of the growth for next year?
Linda A. Lang: Yes. We don't provide details on where the new units are growing. Yes, as I've said, we're-- on the company -- for the company units, it'll be more on our core markets that we've identified for Qdoba.
Peter Saleh - Telsey Advisory Group LLC: Okay. And then on CapEx, could you give us a little bit of a breakout in terms of what's going to the unit growth versus maintenance and other items?
Jerry P. Rebel: Yes, well, I had mentioned that we expected maintenance to be in the $30 million to $35 million range, and growth in the $40 million to $50 million range. We also talked about the IT system rollout. We'd expect the IT cost to fill in a good portion of that gap. But, again, I would not expect ongoing IT investment of that rate going forward.
Operator: Our final question comes from Jake Bartlett of Susquehanna International Group.
Jake R. Bartlett - Susquehanna Financial Group, LLLP, Research Division: I had a question about the negative menu mix and really what drove that. It sounds like it was the breakfast promo being successful. Can you talk about what mix the breakfast promo was? Also whether the chicken combo had a dilutive effect to check or anything other driving the negative menu mix? And I have a quick follow-up question.
Linda A. Lang: Yes, it's both the jumbo breakfast platter at $2.99 and the really big chicken sandwich combo. There were some other beverage promotions, but for the most part, I'd say it was the breakfast platter which we had a -- which was very successful. We don't disclose mix, menu mix. But the really -- the bring back of the really big chicken sandwich combo was also very successful.
Jake R. Bartlett - Susquehanna Financial Group, LLLP, Research Division: Okay, because I thought you had some of the chicken combo in the third quarter as well, but it didn't have as much of a negative mix effect?
Carol A. DiRaimo: We were lapping that also from last year.
Linda A. Lang: Yes -- this was -- we brought it back – yes. It was only 2 weeks in the third quarter. It was predominantly a fourth quarter event.
Jake R. Bartlett - Susquehanna Financial Group, LLLP, Research Division: Okay. And then the other question, you mentioned your guidance of 4 to 5 for Q1, and also strong trends, so far, in the quarter for 7 weeks. Are the first 7 weeks above that 4 to 5? I believe it gets a little more difficult in the latter 2 months or the latter periods of the quarter?
Linda A. Lang: Yes, we don't provide details on the trending.
Jake R. Bartlett - Susquehanna Financial Group, LLLP, Research Division: Okay. In past releases, you've had language that kind of said, as reflected in current trends, I guess, the omission of that says something?
Carol A. DiRaimo: Yes, it's really -- we're 7 weeks into a 16-week quarter, Jake. So it's -- we have a little longer runway to go in the rest of the quarter.  I think that's all the time we have this morning. Appreciate your patience and have a wonderful Thanksgiving holiday.
Operator: This concludes today's presentation. Thank you for your participation. You may now disconnect.